Operator: Thank you for standing by. Welcome to APA Corporation's Fourth Quarter 2022 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Gary Clark, Vice President of Investor Relations. Please go ahead.
Gary Clark: Good morning, and thank you for joining us on APA Corporation's fourth quarter and full-year 2022 financial and operational results conference call. We will begin the call with an overview by CEO and President, John Christmann. Steve Riney, Executive Vice President and CFO, will then provide further color on our results and outlook. Also on the call and available to answer questions are Dave Pursell, Executive Vice President of Development, Tracey Henderson, Executive Vice President of Exploration; and Clay Bretches, Executive Vice President of Operations. Our prepared remarks will be approximately 15 minutes in length with the remainder of the hour allotted for Q&A. In conjunction with yesterday's press release, I hope you have had the opportunity to review our fourth quarter and full-year 2022 financial and operational supplement, which can be found on our Investor Relations website at investor.apacorp.com. Please note that we may discuss certain non-GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures, can be found in the supplemental information provided on our website. Consistent with the previous reporting practices, adjusted production numbers cited in today's call are adjusted to exclude non-controlling interest in Egypt and Egypt tax barrels. I'd like to remind everyone that today's discussion will contain forward-looking estimates and assumptions based on our current views and reasonable expectations. However, a number of factors could cause actual results to differ materially from what we discuss today. A full disclaimer is located with the supplemental information on our website. And with that, I will turn the call over to John.
John Christmann: Good morning, and thank you for joining us. On the call today, I will review our key accomplishments in 2022, comment on fourth quarter performance, and provide an overview of our 2023 plans and objectives. Ahead of the pandemic, in 2019, we established a pragmatic long-term plan for our business that emphasized returns-focused investment, strengthening the balance sheet, right-sizing the organization and activity levels to deliver moderate sustainable production growth, conservative budgeting, and the selective pursuit of differentiated opportunities for value creation, most notably, exploration. The world oil demand and commodity price dislocations that followed in 2020 and 2021 required some difficult and necessary actions to preserve our business. After a few years of hard work, we have returned to and are delivering on this long-term plan. In 2022, we generated a second highest annual free cash flow in the company's 68-year history, which we allocated primarily to debt reduction and cash returns to our shareholders. We also increased our rig activity to a pace that is now capable of generating sustained production growth in both Egypt and the U.S. Some of the more notable achievements of the past year include free cash flow generation of $2.5 billion, 66% of which was returned to shareholders. The repurchase of $1.4 billion of common stock at an average price of less than $40 per share and the doubling of our annual dividend, a $1.4 billion or 23% reduction in outstanding bond debt, an increase in adjusted oil production from the fourth quarter 2021 to the fourth quarter 2022, which represents our first exit rate to exit rate oil production increase since 2018. The successful integration of our Texas Delaware Basin tuck-in acquisition, which compliments our legacy Delaware position and continues to exceed expectations. And importantly, on Block 58 in Suriname, the flow test of two appraisal wells at Sapakara South, which indicated a combined resource in place of more than 600 million barrels of low GOR oil. At Krabdagu, the discovery well was also successfully flow tested. An appraisal is now underway with two rigs. Additionally, in Block 53, the first oil discovery was made at Baja, which is on trend with Krabdagu. And lastly, on the ESG front, routine upstream flaring in Egypt was reduced by more than 40%. This is a significant step toward our goal of eliminating 1 million tons of annualized CO2 equivalent emissions by the end of 2024. Moving on to fourth quarter results. Following some operational delays in Egypt and unexpected facilities downtime in the North Sea in the first three quarters of the year, we ended 2022 on a strong note. Fourth quarter production and costs were in line with guidance, while CapEx for the period was slightly above expectations due to some small shifts in activity timing. U.S. production exceeded guidance on continued strong performance from our Midland and Delaware Basin oil properties. Oil volumes in Egypt strengthened as we continue to improve drilling efficiencies and project execution and North Sea production benefited from a substantial improvement in facilities runtime. Looking forward to 2023, we will continue to focus on managing costs and driving efficiencies while also taking advantage of the optionality within our portfolio to respond to commodity price movements. Specifically, with regard to the recent and substantial drop in natural gas prices, we are managing the portfolio for cash flow and not production volume. Accordingly, our growth in 2023 will be entirely driven by oil. We are reiterating our capital budget of $2 billion to $2.1 billion, which is consistent with what we indicated back in early November. We believe this appropriately reflects potential inflationary impacts for the coming year and remain confident in our ability to deliver within this range. At this investment level and assuming current strip prices, we anticipate year-over-year adjusted oil growth of more than 10% and BOE growth of 4% to 5%. This is consistent with the preliminary BOE guidance we discussed on our November call. Oil volumes in Egypt and the U.S. will be the primary contributors to growth more than offsetting a decrease in natural gas production in both regions. As we also noted on our November call, we are expecting a sequential decrease in U.S. production from fourth quarter to first quarter. This is primarily driven by our Permian Basin oil well completion cadence. However, natural gas curtailments at Alpine High and liquids volume reductions associated with ethane rejection during the month of January are also significant contributors. Importantly, our Permian oil well completion cadence will accelerate in the second half of February, which should lead to significantly higher U.S. oil production in the second quarter through the fourth quarter. Turning to the North Sea. We anticipate a moderate production rebound this year with three new wells coming online in the first half and shorter scheduled maintenance turnaround times. We plan to release the Ocean Patriot semi-submersible drilling rig around mid-year, following completion of a scheduled drilling campaign in the North Sea. The permanent reallocation of this capital to other areas is being evaluated as a recent tax changes in the UK have made returns less attractive than other investment opportunities within our portfolio. In Suriname, first half 2023 activity is focused on the two appraisal wells drilling at Krabdagu and subsequent flow testing. Following that, another exploration test on Block 58 is also planned. While average oil and gas prices are trending down relative to 2022, APA’s free cash flow this year should be bolstered by our gas sales contract with Cheniere. Steve will provide more detail around the expected impact of this contract in his remarks. We remain fully committed to returning at least 60% of our free cash flow to shareholders through a mix of dividends and share buybacks. Strengthening our balance sheet also remains a priority, and we anticipate that most or all of the free cash flow not returned to shareholders will be used to reduce debt. In closing, while the industry is experiencing considerable short-term oil and gas price volatility, we have a constructive outlook on the long-term supply and demand for hydrocarbons. Over the next several years, our plan is to maintain a relatively constant activity level yet remain flexible to shift capital within the portfolio to the highest value opportunities. Through the cycle, we also plan to continue allocating an appropriate percentage of our capital budget to high-quality differential exploration opportunities. APA’s investment case and portfolio are unique. Within the Permian Basin, we can allocate capital investment to oil or natural gas and generate growth from either or both commodities. Additionally, we hold considerable long-term gas transportation capacity, which our marketing team utilizes to purchase and resale third-party gas for a profit. We have gas sales to Cheniere commencing this summer that will provide long-term access to international index pricing. Our Egypt operations offer exposure to premium Brent oil prices, modernized PSC terms, and an opportunity to generate consistent growth in an area with tremendous potential. And in Suriname, our joint-venture partnership enables the appraisal and potential development of large scale projects on Block 58 with limited capital investment. We believe APA is well positioned to help profitably deliver hydrocarbons that the world needs for the next decade and beyond. We are committed to doing this while reducing carbon intensity and being good environmental stewards. And with that, I will turn the call over to Steve Riney.
Stephen Riney: Thanks, John. APA delivered very good financial performance in the fourth quarter and for the full-year as we benefited from a strong albeit volatile price environment. For the last three months of 2022, consolidated net income was $443 million or $1.38 per diluted common share. As usual, these results include items that are outside of core earnings. The most significant of these items was a pre-tax charge of $157 million to increase the net contingent liability for decommissioning the former Fieldwood properties in the Gulf of Mexico. The increase reflects a combination of changes in cash flow during the life of the producing asset and estimated future decommissioning costs. This was partially offset by a $52 million pre-tax unrealized gain on derivatives and a $47 million release of evaluation allowance on deferred tax assets. Excluding these and other smaller items, adjusted net income for the fourth quarter was $476 million or $1.48 per diluted common share. During the fourth quarter, APA generated $360 million of free cash flow and repurchased more than 12 million shares of common stock, resulting in approximately 312 million shares outstanding at year-end. Underlying G&A costs for the quarter remained around $95 million. However, total G&A was $169 million, which was above our fourth quarter guidance. This was caused by an increase in anticipated incentive compensation plan payouts, as well as the recurring mark-to-market for previously accrued stock-based compensation that will be paid out in the future. These accruals also resulted in higher than expected LOE and exploration expense, though to a much lesser extent than G&A. Exploration expense was also elevated as we recorded $66 million of combined dry hole costs for the Awari prospect in Suriname and a non-commercial exploration well in the North Sea. Looking ahead to 2023, as John outlined, we expect continued production growth and strong free cash flow generation. At 2022 prices, free cash flow in 2023 would be about the same as 2022. Growing production volumes and cash flow from the Cheniere gas sales contract at current strip prices would offset the impact of higher taxes in the UK and the increased capital program. We will once again return a minimum of 60% of free cash flow to shareholders through share buybacks and dividends with the remaining 40% primarily used for reducing net debt. The gas sales contract with Cheniere will commence in the second half of 2023. We entered into the agreement in 2019 with the purpose of aligning aggregate financial outcomes with a more diversified portfolio of gas prices similar to the diversified oil prices we enjoy naturally through the portfolio. We are frequently asked about the contracts expected free cash flow and its sensitivity to movements in U.S. Gas and Global LNG prices. At current strip price levels, we project roughly $200 million of free cash flow contribution in the second half of 2023. If you want to put a range on annualized forward-looking free cash flows, let me give you two potential outcomes as realistic inputs. Assuming average prices of $20 LNG and $4 Houston Ship Channel, the expected annualized free cash flow would be approximately $500 million. Assuming higher average prices of $40 LNG and $6 Houston Ship Channel, the annualized free cash flow would increase to approximately $1.25 billion. It is important to note that these cash flow numbers include the costs incurred to purchase the gas to supply to Cheniere. Clearly, we believe there is substantial upside price exposure. Despite this, we will continue to plan and budget conservatively given the volatile gas price environment and the scale of associated changes in the cash flow profile. Turning now to income taxes. The UK recently increased its energy profits levy from 25% to 35% and extended the effective period through March of 2028. As a result, the combined statutory tax rate in the UK for 2023 is now 75%, and we expect this will be fairly close to our effective tax rate as well. With that, at current strip prices, we expect UK current tax expense of $550 million to $575 million this year. In the U.S., we do not expect to be subject to the 15% corporate alternative minimum tax in 2023 and therefore, anticipate no current federal income taxes for the year as accumulated tax losses more than offset projected taxable income. Please consult our financial and operational supplement for a full suite of guidance items for both first quarter and full-year 2023. To wrap up, 2022 was a year of great progress as we exceeded our minimum shareholder return commitment and significantly improved the balance sheet. We reduced outstanding bond debt by $1.4 billion while also returning 66% of free cash flow to shareholders and restoring the base annual dividend to $1 per share. Through the buyback program, we repurchased 10% of the company's outstanding shares at an attractive average price of roughly $39 per share. In 2023, we anticipate another strong financial performance with more share repurchases, more balance sheet deleveraging and more progress toward our objective of achieving an investment-grade rating with all of the rating agencies. We look forward to updating you as the year progresses. And with that, I will turn the call over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] I'll now turn the call over to Mr. Gary Clark.
Gary Clark: Thanks, operator. One quick administrative note, Steve Riney will not be available for Q&A as he unfortunately needs to attend to a family matter. So Ben Rodgers, our Senior Vice President, Treasurer and Head of Midstream and Marketing has joined us and he will be able to address your questions related to financial topics and gas marketing and transportation. So we'll give it back to you operator for the Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of John Freeman with Raymond James. Your line is now open.
John Freeman: Good morning, guys.
John Christmann: Good morning, John.
John Freeman: First topic, just looking at Egypt, obviously, a really, really solid quarter in 4Q. Nice to see the rig efficiency gains. I was looking at the success rate that you had in Egypt in 2022 versus the prior couple of years, and the success rate was meaningfully better about 85% average in 2022. And I guess I'm trying to get a sense of how much of that is maybe related to some of the seismic you had done a year ago? Or anything else you are doing in Egypt that would maybe indicate that, that higher success rate is sustainable going forward?
John Christmann: Yes, John, I'd say the program has been pretty constant. We drilled really a multitude of different well types, both on the development side and the exploration side. I think what you're seeing there is the impact from the modernization, there were some things that were not being pursued because of the modernized terms, and we're able to pull some of those forward and prioritize them. So you're running a little higher on the success rate as we get some of that low hanging fruit initially.
John Freeman: Great. And then a follow-up on looking at Suriname. Has the exploration well been identified where that will be after the two appraisal wells? And is the entirety of the 2023 plan, the two appraisals and the one exploration, which was kind of laid out in the presentation, we just want to think of it as you do the appraisals. I mean it's sort of a – let's see what comes of that and then determine the second half of the year sort of plan? Just a little bit more detail on Suriname, please.
John Christmann: Yes. I would just say today, we've got the two appraisal wells that we're drilling at Krabdagu, and that's going to take a good portion of the first part of the year, and that's where the priority is now. And then we do have one exploration slot that is still being worked and we're still debating with partner on which well that will be, but there are multiple wells identified. It's just a matter of which one. So for now, that is the plan. And obviously, we'll readdress that throughout the year.
John Freeman: Great. Thanks, John.
John Christmann: Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from Jeanine Wai with Barclays. Your line is now open.
Jeanine Wai: Hi. Good morning, everyone. Thanks for taking our questions.
John Christmann: You bet, Jeanine.
Jeanine Wai: Good morning, John. First question maybe just keeping along with John's on Suriname. The estimate for resource at Sapakara is now over 600 million barrels of oil in place. So I guess our question is, what's the confidence level of that estimate? And how much overall resource is required to get a project to FID, and we know you're doing a ton of appraisal at Krabdagu this year as well?
John Christmann: Yes. I mean in terms of the estimate at Sapakara, there's good confidence. We flow tested those volumes – is really high-quality rock. It's low GOR oil and really got one main sand package. So it's going to have a high recovery and it will be a big key component potentially of a future project. So we have great confidence there. And then we've got the two appraisal wells that are being drilled at Krabdagu right now. In terms of development size and so forth. As we've said, we're working towards a first project. And really, right now, it's premature to talk about anything pending the results of appraisal at Krabdagu, which we're very excited about and it's moving right along.
Jeanine Wai: Okay. We'll stay tuned for those appraisal results. Maybe moving to the U.S. You mentioned in your prepared remarks that you're managing the portfolio for cash flow and not production and so 23% is driven by oil this year. And so you also curtailed some Alpine High production in January. Can you provide any further color on what the price sensitivity is of natural gas curtailments at Alpine High? Thank you.
David Pursell: Yes. This is Dave Pursell. It's a good question. Our curtailments earlier in the year were relatively small, but when Waha – Waha has had a lot of volatility. So as we get down to low Waha basis, and sometimes it's going negative, so we're making those decisions daily and weekly. So it depends on dry gas versus wet gas. There's a lot that goes into it, but as we look at it now, we've been flowing Alpine, full out through most of January and February. So not going to give you a specific price marker, but we're looking at it, pretty extensively every day and every week with the marketing team.
Operator: Thank you. [Operator Instructions] And our next question comes from Charles Meade with Johnson Rice. Your line is now open.
Charles Meade: Good morning, John to you and the whole Apache team there. I wanted to ask a question about the Krabdagu appraisals. And I recognize that we still have to get the important data that those appraisals are designed to get with not just what you see in the logs, but with the flow test. But from my seat, and I think for most of the people outside looking in, you guys have – you have two – I guess you're about to have two appraisals ongoing. It really looks like you guys are trying to drive to get the data to get to a decision point in the near-term? And is that a fair inference to make?
John Christmann: I mean, Charles, we've prioritized the appraisal at Krabdagu right. And you saw us move from Sapakara with two appraisal wells there, and we're very pleased with those results. And Sapakara 2 kind of came in as we had projected and modeled and obviously anxious for the results at Krabdagu. And so it is fair to say. And its fact, we've prioritized the appraisal program right now.
Charles Meade: Right. Thank you for that, John. That's what we're trying to get to. And the second one, just a quick follow-up for me. How would you set our expectations on when we're going to hear about the Krabdagu flow test, both at the same time? Or what should we be thinking about?
John Christmann: Charles, I would just say that clearly, one of the wells is ahead of the second and the second one has been on location spudding any time now. So there will be a lag. And we'll just have to see what we decide to do and work with Total in terms of what we come back with and timing. But we're moving on both of those as quickly as possible, and it's very important information.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Paul Cheng with Scotiabank. Your line is now open.
Paul Cheng: Thank you. Good morning, guys.
John Christmann: Good morning, Paul.
Paul Cheng: Two more questions. John, can you remind us that what is Alpine High role in your longer-term portfolio? I think at one point several years ago, you sort of write down edited then gas pipe become a little bit better, and I think you guys go back and sort of having – it seems like it's having a role in the long term. But how should we look at the Alpine High? And also, the second question is that I think you guys have not done any bolt-on acquisitions in the last 12, 18 months. Some of your peers has done so. How should we look at bolt-on acquisition for you guys over the next two or three years? Is that a – could pay a reasonable role or that you will be focusing more effort in exploration in Suriname and also that the activity level in Egypt. Thank you.
John Christmann: So two really good questions, Paul. I mean the first thing I would say is as Alpine High is a nice piece of our Permian portfolio, and we look at part of the Delaware Basin. And it's one of the levers we have, the optionality to allocate capital to. We've got really three wells that we're going to be bringing on during the first quarter. And then you'll see kind of a break and then we've got five wells that will be coming on year-end. But it is something we can toggle and we'll tend to leverage that. And what you've seen us this year is given the weakness in Waha and U.S. gas, there's no reason to be bringing on incremental volumes, but it's really about prepping for the opportunity and having that optionality when you look at 2024 and beyond some of the basin bottlenecks open up. So it will be a toggle for us, and it's a place we have the optionality to invest and we plan to use this such and that's been the game plan. I think when you step back in your second question related to bolt-on acquisitions, we did do our first acquisition last year in the Delaware, a very nice tuck-in acquisition. It was one that – we're constantly in the market looking at things as is we have assets in the market. We typically wait to talk about things until there's a transaction or something to do. The tuck-in we did last year is something that's been exceeding our acquisition forecast, something we're very happy with, and it's now integrated into our Delaware package in our Delaware assets. So I think it's something you just got to monitor. I mean if you've got a handle on your current inventory. You've got a handle on costs and if there are things that we think we can add at attractive cost where we can drive incremental returns, then we're not opposed to doing that. But it's been a high bar, and that's why we've really only done one transaction over the last couple of years. And we're going to continue to drive a balanced portfolio. We are emphasizing exploration with the program we've got in Suriname, but we also do a lot of just blocking and tackling things elsewhere around the globe.
Operator: Thank you. [Operator Instructions] And our next question comes from Doug Leggate with Bank of America. Your line is now open.
Douglas Leggate: Hi. John, good morning. Hey. Good morning, everybody.
John Christmann: Good morning, Doug.
Douglas Leggate: John, I've tried this couple of times in the past, but I'm going to try it again. Suriname recovery factors, given your post permeability is world-class rock, obviously, can you give us some idea of what you think that looks like? And if I may reference the more than $800 million as opposed to the $600 million, it looks like we're heading to a joint potential Sapakara, Krabdagu development, what should we think in terms of timing and scale of an FID?
John Christmann: Great question, Doug. And there's a lot of work we've done, and we have a lot of confidence in what we put out, but there's also a lot of work left to do. So I will talk about give you a little bit of color on Sapakara and then I'm going to bring Dave in if he wants to add anything, you've really got two areas – you are correct. We are working towards with our partner, potentially a development hub where you would be bringing in both Krabdagu and Sapakara. They are a little different in terms of the makeup and so forth. Sapakara is predominantly one package, really, really high-quality rock when you're talking low GOR oil, 1,100 GOR oil and you're talking 1.3 to 1.5 Darcy rock, one nice blocky sand, you're going to have high recoveries. And that's really all I'll say at this point. You'd want to get into feed study and do more work before we come out with more specifics there. So some of the questions you're asking are things that will come later. And then Krabdagu is – there's three targets there. It is the incremental $200 million that you've referenced there, and we're in the process of appraising that. You've got a range of GORs there depending on the zones. And so the work we're doing to understand those and quantify those is really important to determining potential scale and scope. So all things underway. We prioritize it, which is why you've got two rigs there. And we're anxiously awaiting those as well because it's going to have an impact on scope and scale.
Douglas Leggate: Thank you for that, John. I guess we're not going to get the FID timing question, but I told you I would try again. I'm torn as to whether I ask my second on Suriname as well. I think I'm going to, so let me try this. Did you find an oil water contact on the second appraisal well at Sapakara. And I guess what I'm really trying to think of is the focus, obviously, is on these two, but they're still, if I recollect, multiple years left in exploration program. How do you think about the broader risk of the basin at this point? Oil window, obviously, prospects specific risk and so on, to generally characterize it for us, is this going to be one and done? Or do you see capacity for a longer-term exploration development program in the basin?
John Christmann: Well, a bunch of questions in there. So I'll try to answer all of them to the extent I can. One, Sapakara South 2 was an up dip appraisal. So I think that was important in terms of confirming what we confirm there. If you go over to Krabdagu, I'll remind you, Waha in Block 53 was a discovery of a down-dip lobe and the Krabdagu fairway. So there are multiple levels and that's part of what you're driving at. There's also a pretty good chance we're appraising updip at Krabdagu as well, which is always a good thing when you're appraising. We see a lot of potential. I mean if you look at where we are today and the area we're working, we've had great success. There is more beyond just Sapakara and Krabdagu that could also go into a potential hub. And then if you look on the outboard side of the block, you get further out, we've had a working petroleum system, and we found hydrocarbons. The trick has been trap and seal as you get out there. So I do believe we will have an ongoing program in Suriname as there is a lot of prospectivity.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Neal Dingmann with Truist. Your line is open.
Neal Dingmann: Good morning, John. Thanks for the time. John, my first question, really just a broader one on shareholder return or specific to maybe capital allocation. The last couple of quarters, you all were pretty adamant about talking about maybe a minimum amount of buyback given still what I certainly agree with a cheap stock price. I'm just wondering, do you all still feel like that? I mean, you have kind of a minimum level that you think about going forward for this year or this quarter? I mean, I'm just wondering from a shareholder or buyback perspective, if you're able to frame anything up?
John Christmann: No, I think we have – good question. We have great confidence in the framework we put forward. And I'll underscore, when we say on the buybacks, we'll do a minimum of 60%. As you saw last year, we were able to execute on that. We feel strongly about it today as well, and that's what you'll see us do. By nature, things are back-end loaded last year just because of the volatility in the commodity price. We were active, I think, in 10 out of 12 months on the buyback. And you'll see us taking similar approach this year. But it is definitely a minimum of 60%. That gives us ample on the additional 40 to address balance sheet. So yes, we – I'll underscore that.
Neal Dingmann: No, great point. Okay. And then clearly, just a second question on domestic activity. It's been asked a little bit, but I'm just wondering, you all mentioned having the two Southern Midland Basin, the three Delaware rigs. How fluid is this? Could this change depend on prices, and I'm just – or even more activity in that newer Titus area? Just wanted for plans for remainder that maybe more second half of the year?
John Christmann: Yes. I would just say we're in a really good cadence in the Southern Midland Basin, and you're seeing it in our results because we're planning pads way down the road, and it gives us time to really execute and think about how to maximize the NPV and the returns. And so that two-rig program has been a good cadence for us at Southern Midland Basin. We've got three in the Delaware, and that's where's flexibility. And you've seen from the forecast, we're shifting those more to the oil-weighted projects in the Delaware and that's the luxury we have of our portfolio today. And then we've integrated Titus in – so it's really just part of our Delaware program and it's ours. So.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Roger Read with Wells Fargo. Your line is open.
Roger Read: Yes. Good morning.
John Christmann: Good morning, Roger.
Roger Read: Good morning. Happy to finally show up here. One quick question for you on your comments about the outlook for the agreement with Cheniere, the range of 500 to 1.25. When we look at it between the ship channel price and the European price which one do you see more sensitivity to? In other words, we see a big move in prices here or could you slump per and big moves, we expect continued volatility over in Europe, which is the waiting towards?
John Christmann: It's going to be more on the global and TTF or JKM, but I'll let Ben provide any additional details.
Ben Rodgers: That's right. I mean there's a lot of variables that go into it. We've seen weakness in the ship channel this year, mainly from Freeport LNG being offline and just generally milder weather. So a lot of domestic variables that are impacting the Houston Ship Channel. But to John's point, with the war in Ukraine and a milder winter over in Europe, I think it was one of the – only the second or third warmest winter that they've had over there in close to 50 years. It's just going to insert a lot of volatility there. The good thing though, as we look at it, you just kind of step back, we think it does provide very significant potential uplift to our free cash flow numbers. And we have that inherently on the oil side by selling our North Sea and Egyptian oil barrels at Brent-based pricing. And it's one of the reasons we entered into this contract in 2019 was to get access to the global gas market as well.
Roger Read: Yes, it makes sense. The follow-up question I have is I understand the reason for reducing investment in gas in the near term. But as you look at your let's call it, guidance goals, expectations to deliver oil volume growth this year. What should we be paying attention to as the risk factors on that things that which I guess could cause you to come in underneath or any of the other issues, as you mentioned, kind of like well cadence, stuff like that?
John Christmann: I mean it's exactly those things, Roger. But I mean we've got good confidence in the program, and it's underpinned the two onshore areas with Egypt and Permian. But it will be that very thing. It's the turn-in lines and the timing. And you're seeing that a little bit with the first quarter because we only had four wells in the U.S. Fourth quarter of last year, and they are late, one Permian, three Chalk. So a lot of that's going to be driven by the function of just what's the timing on the execution. And when you're running five rigs in the U.S., it's going to be lumpy. And then Egypt, it took us a little bit of time to kind of get our legs under us with the 17-rig program. But I mean that's going to – those are the key things to watch. But we have good confidence in our projections.
Operator: Thank you. And our next question comes from the line of Neil Mehta with Goldman Sachs. Your line is now open.
Neil Mehta: Yes. Thanks, so much. Maybe, John, the first question is around capital efficiency. The spend budget came in a little bit lower than where consensus was. So maybe you could talk about what you're seeing real time, both international and in the U.S. in terms of inflation. Have you seen any green shoots that this period of immense inflation is starting to move back into your direction?
John Christmann: Yes, Neil, a good question. I would say we spend a lot of time trying to stay about a year ahead of our programs and so with our contracts and things because that gives us the visibility in terms of the spend. And so today, a lot of what you're seeing is contracts based on the back half of last year pricing. So I think it's a little premature from our perspective to be seeing any softness tied to the commodity price. I think if the price stays where it is today, that is one of the upsides of the plan as you're going to see cost structures follow. They just tend to lag but they will follow the deck. It just takes a little bit of time to play catch-up. So nothing there to really comment on in terms of green shoots or anything at this point.
Neil Mehta: That's fair, John. The follow-up is the North Sea, maybe you can talk about the impact of the 75% tax rate. How it's affected your willingness to invest in the region. There was obviously the Ocean Patriot release as well. And any comments you have around tax rate broadly would be helpful?
John Christmann: Yes. I would just say that it's made the North Sea less competitive relative within our portfolio. And so as we look at that still an asset that we're going to manage for cash flow and we'll get good performance there, and we're going to continue to invest in asset integrity and maintenance and all the things we need to do environmentally, safety like we always will. But longer-term incremental dollars that we have alternatives to put in other places, you're seeing us make that decision just because there's more attractive places to put that. And so it's made the North Sea less competitive on a relative basis within our portfolio. And that's why you're seeing us drop the Ocean Patriot rig later this year.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of David Deckelbaum with Cowen. Your line is now open.
David Deckelbaum: Hey, John. Thanks for the time today.
John Christmann: You bet.
David Deckelbaum: Just wanted to ask on sort of the future expectations for Egypt growth. I know since the modernization of the PSC and the ramp up to 17 rigs now, the view was that this could be sort of a multiyear growth opportunity. I understand the beginning of this year, production obviously declines and then ramped throughout the year. It seems like a combination of till cadence, but also was curious if there's infrastructure challenges driving some of that production curve. And then what we should expect once we're 10% higher in the fourth quarter of 2023 going into 2024 and beyond there?
John Christmann: No. I think you'll see a pretty robust program in Egypt. The thing you have to recognize here, we've got two factors going on. You have a big discovery that was predominantly gas and [indiscernible] that's starting to decline. And that's why you're seeing the oil growth, which is where the drilling program with the 17 rigs are focused in Egypt. So you'll see that oil mix is what's growing in Egypt as well, and that's what's underpinning that program. But it's an onshore multi-rig program. And it's a little bit different from the unconventional that you folks have gotten used to in the U.S. We're at shale and you can do pad math. But the nice thing is, this is conventional rock that flows at you pretty hard and fast and sets up smaller developments but very impactful material developments. So good confidence in the long-term curve there. We've been in Egypt since 1994, and a lot of good confidence in that.
David Deckelbaum: I appreciate that, John. And just my second one, just on Suriname. It sounds like we're obviously waiting for the appraisal results from Krabdagu and the intention to potentially build out a hub there. I guess does that necessarily preclude Sapakara being developed independently? Or would you view this as you kind of need to combine both Sapakara and Krabdagu into one hub system to maximize economics and that Sapakara wouldn't necessarily support a development on its own?
John Christmann: I'll just say your – both us and our partner are motivated to get the scope and scale correct from the get-go. And the larger the project, the larger the boat, the better the economics are going to be. And so there's no reason to try to get into – could you – because what we're really looking at is to how you get the scope and scale right. And that's why we're looking at trying to combine these.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Leo Mariani with ROTH. Your line is now open.
Leo Mariani: Hi, guys. I was hoping you could talk a little bit more about the North Sea. Obviously, you're making the decision to drop the rig here later this year. It certainly sounds like that tax rate is going to be separately high for quite a few years. Should we expect the result of that rig being dropped is it going to kind of accelerate some of the production decline? Should we expect to see kind of steady declines on asset maybe starting in 2024 and beyond? Just trying to get a sense of what the ramifications are of the less activity?
John Christmann: Yes. I would just say, in general, it doesn't really change the abandonment time frames as we model that out today. And really, you look at this year, not much impact from the Ocean Patriot. It was drilling some things that are bigger impact subsea wells that take time to come into play. So it does have an impact, start to see a little bit in 2024 or 2025 and beyond, but it doesn't really drive – I mean we're still looking at early 2030s for both 40s and Barrel. And when we bought the 40s asset, I'll go back and remind you. When we bought that in 2003 from BP, it was scheduled to come out of ground in 2012. And so here we are more than a decade longer 12 – 10 years, 11 years longer. And still looking at close to another decade. So there's still good productivity in life there. We're just going to manage it for cash flow and be very prudent about the future investments.
Leo Mariani: That's helpful. And then just jumping over to the U.S. Just wanted to get a sense – is there anything at all planned in the Austin Chalk in 2023? I know you guys had some wells that kind of came on late last year. So if there's any update you have on that asset. And then also just to follow up on Alpine High a little bit. Do you guys really – it sounds like you're kind of viewing that as somewhat of optionality on the gas market in the next several years and then hopefully that gas market will improve. But do you guys have long-term designs on using Alpine High as a feedstock for some of these Gulf Coast LNG facilities?
John Christmann: I mean the thing I would say is recognize the contract with Cheniere is a separate deal. It's a corporate level deal. We buy gas and ship channel. So it's separate and aside from what our equity gas that we produce. So we sell that in basin at Waha and prices at Waha are going to dictate what we do in basin. So that's the point to make there. In the Chalk, we brought on those three wells. Today, we don't have anything planned in terms of drilling from a working interest perspective. In the Chalk, there may be some non-op wells we participate in, where we've got some non-op interest there that others are drilling. But nothing planned in our budget this year for Chalk drilling.
Operator: Thank you. [Operator Instructions] And our next question comes from Arun Jayaram with JPMorgan Chase. Your line is now open.
Arun Jayaram: Hey, good morning. John, the more recent activities in Suriname have been focused on appraisal activity with, I guess, two rigs now on location at Krabdagu. What are you and the partners' plans in terms of incremental exploration post the evaluation results of Krabdagu with the two rigs.
John Christmann: There will be another exploration well drilled, Arun, and we're still working on that location between us. There are several prospects. Both teams are spending time, high grading. I mean, if you go back and look at both Awari and Bonboni and Block 58, we have working petroleum system, hydrocarbon systems out there. The main targets in both cases failed because of breach of seal. And so I'd say teams are spending time, but there is a lot more prospectivity to the outboard side, all the way back into the – where we've had great success. So working through that with our partners. And as we get in a position to drill more wells, we'll talk about those as they come onto the rig lines.
Arun Jayaram: Got it. And just maybe one follow-up in the Permian. John, as I think about your 2022 program in the broader Permian including in 4Q – the company didn't place as many wells on the sales as we have thought in terms of our modeling, looking at 4Q, I think you placed one or so wells to sales – what drove that in 2022? Were you building some DUCs and just thoughts on – will that shift a little bit as we think about 2023 because you have a pretty robust production growth outlook from the…
John Christmann: No, Arun, it's a great question. I mean it's really more just the lumpiness of a program. We're drilling longer laterals – and you've got two rigs in the Midland Basin. And so a lot of it is just the timing of the pads, completing the pads and then working through the completion timing. So with only two rigs, you're going to see lumpiness from us, whereas if we were running a lot more rigs and that lumpiness kind of starts to work itself out and normalize. So it's really just a function of timing on those with longer laterals.
Operator: Thank you. [Operator Instructions] Next question comes from the line of Jeoffrey Lambujon with Tudor Pickering. Your line is open.
Jeoffrey Lambujon: Hey, good morning everyone. Appreciate you all taking my questions.
John Christmann: You bet, Jeff.
Jeoffrey Lambujon: Yes. Thanks for squeezing me in. Just a couple of here follow-ups on Egypt. Obviously, some solid execution there, especially relative to earlier in 2022, as you highlighted, that's showing up and production results as we all saw. So as you think about the 2023 guide. I was hoping you could speak to how you're thinking about the level of conservatism or risking that might be baked in there as you think about the oil growth exit to exit. And what kind of running room you might see from here on operations and efficiencies as you move through the year? And we're focusing on in terms of tracking execution from beyond the 2023 program?
John Christmann: Well, I mean, Jeff, a question. We obviously try to guide to what we believe are numbers with high confidence that we can hit, and we spend a lot of time on that. I do believe there are things at times that – the nice thing about Egypt is there is ability to – with success to bring other things on and get other wells drilled and high grade that schedule as you're moving through the year. But I think we've given a very realistic and good guides for 2023. And I think there's good confidence from the team. I know I sure asked that question and the response I get the response that I'm comfortable to relay.
Jeoffrey Lambujon: Okay. Great. And then I guess just on operations and efficiencies, again, obviously improved quite a bit as you move to 2022. Just want to get a sense for what you're focusing on from that perspective and what kind of running room you might see for improvements from here?
John Christmann: Yes. It's all about operational excellence and continuing to try to improve and learn from things as you go. In Egypt, we're drilling in some new areas with the seismic and some of the exploration that we're doing there. And so within those areas, we should see improvement as we drill more wells and things – areas you've drilled before. So you're seeing some of that. And the big thing is across the entire organization, across the asset teams across the functions, everybody is really trying to take all that they integrate it and get better. I mean it's about continuous improvement and execution excellence. And you saw great progress on the safety front. We're going to continue that and continue to focus on the operations. Paying attention to details.
Operator: Thank you. I would now like to hand the conference back over to Mr. John Christmann for closing remarks.
John Christmann: Yes. Thank you. And before closing today's call, I want to leave you with the following thoughts. First, I want to recognize our entire team for their hard work and dedication to safety, operational excellence and environmental stewardship. APA remains committed to financial and operational discipline. We are focused on leveraging the portfolio to invest in the highest return projects. While activity cadence will impact our first quarter, we are confident in our growth outlook for 2023. Lastly, in Suriname, the JV has accelerated appraisal at Krabdagu, and we look forward to keeping you informed of our progress. I will turn the call back to the operator.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.